Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to the High Liner Foods Incorporated Conference Call for the results of the Second Quarter of 2019. At this time, all participants are in a listen-only mode. Following managements prepared remarks, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for questions. [Operator Instructions] This conference call is being recorded today, Wednesday, August 7, 2019, at 2:00 P.M. Eastern Time, for replay purposes. I would now like to turn the call over to Heather Keeler-Hurshman, Vice President of Investor Relations and Communications for High Liner Foods. Ms. Keeler-Hurshman, please go ahead.
Heather Keeler-Hurshman: Thank you. Good afternoon, everyone. Thanks for joining High Liner Foods' conference call to discuss our financial results for the second quarter of 2019. On the call today from High Liner Foods are Rod Hepponstall, President and Chief Executive Officer; and Paul Jewer, Executive Vice President and Chief Financial Officer. In a moment, I will pass the call over to Rod, for some brief remarks before handing over to Paul who will review the Company’s financial performance for the second quarter. Rod will then wrap up the call with an update on the Company’s progress against its five critical initiatives, and open the call up to questions. I would like to remind listeners that we use certain non-IFRS measures and ratios when discussing our financial results as we believe these are useful in assessing the Company’s financial performance. These measures are fully described and reconciled to IFRS measures in our MD&A. Listeners are also reminded that certain statements made in today's call may be Forward-Looking Statements that are subject to risks and uncertainties. Management may use forward-looking statements when they discuss the Company’s strategy and business in the future. Actual operating and financial results could differ materially from those anticipated in these forward-looking statements. High Liner Foods includes a thorough discussion of the risk factors that can cause it's anticipated outcomes to differ from actual outcomes in its publicly available disclosure documents, particularly in its Annual Report and its Annual Information Form. Please note, that High Liner Foods is under no obligation to update any forward-looking statements discussed today. Earlier today, High Liner Foods reported its financial results for the second quarter ended June 29, 2019. That news release, along with the Company’s MD&A and unaudited condemned interim consolidated financial statements for the second quarter of 2019, have been filed on SEDAR, and could also be found in the Investor Information section on the High Liner Foods' website. If you would like to receive our news releases in the future, please visit the Company’s website to register. Lastly, please note that the Company reports its financial results in U.S. dollars, and the results to be discussed today are stated in U.S. dollars, unless otherwise noted. High Liner Foods' common shares trade on the CSX and are quoted in Canadian dollars. I will now turn the call over to Rod. Rod, please go ahead.
Rodney Hepponstall: Good afternoon everyone and thank you for joining us today. Our finance performance this quarter reflects the significant stride forward we are making across the organizational trends from our business. The improvements in margin, adjusted EBITDA and net-debt are a direct results of executing against our critical initiatives plans to reposition our portfolio to higher margin products and transform to the liner and more efficient and integrated High Liner Foods. I will update you on each critical initiative later in the call, but first the key takeaways. Our critical initiative plan is working, we are building a better more profitable business and reducing debt to build a stronger balance sheet. The market is responding well to our new product innovations and we are launching more innovation in the second half of 2019. Our North American team has integrated with all together. Our supply-chain is increasingly efficient and our operating cost are decreasing. Finally, we are confident that the critical initiative plan will continue to deliver year-over-year adjusted EBITDA improvement in 2019 and 2020, as a result of efficiencies, improvement and further optimizations to our business. I will provide further commentary on our portfolio realignment and the steps we are taking to generate top-line growth later on the call. And I would like to now hand call over to Paul to review our financial performance in the second quarter.
Paul Jewer: Thank you Rod and good afternoon everyone. Please note that all comparisons provided during my financial review of the second quarter of 2019 are relative to the second quarter of 2018 unless otherwise noted. Before getting into the financial results, I would like to remind listeners that the Company adopted the newly standard IFRS 16 leases effective December 30, 2018. The implementation of IFRS 16 resulted in additional assets and liabilities on the consolidated financial statements of financial position of approximately $14.6 million upon transition. And approximately $5.1 million previously accounted for as operating lease expense is now accounted for as $4.6 million of depreciation expense and $1.3 million of finance costs for fiscal 2019. The new lease standard was adopted using the modified retrospective method and therefore, comparative information for 2018 has not been restated. Sales volume decrease in the second quarter by £5.1 million to £60.4 million. The decrease reflects lower sales volume and our food service and retail businesses, including lower sales volume as a result of the significant customer loss in the latter half of fiscal 2018 and the exit of low margin business. This was partially offset by later Easter in 2019 compared to 2018, which shifted some sales volume to the second quarter of 2019 compared to the same period last year. Sales in the U.S. dollar decrease in the second quarter by $22.3 million to $223 million, mainly due to the decrease volume mentioned previously, and changes in product mix. Partially offset by price increases related to raw material cost increases and the later Easter in 2019, compared to 2018. Gross profit decreased in the second quarter by $500,000 to $42.8 million, while gross profit as a percentage of sales increased to 19.2% compared to 17.7%. The decrease in gross profit dollars reflects the lower sales volume and raw material costs increases, partially due to tariff on certain species imported into the U.S. from China. This was partially offset by sales price increases favorable product mix related to the exit of low margin business and improved client efficiencies, partly due to our supply chain excellence initiative. In addition, the weaker Canadian dollar had effect of decreasing the value of reported U.S. dollar gross profit from our Canadian operations in 2019 by approximately $500,000 relative to the conversion impact last year. Adjusted EBITDA increased in the second quarter by $5.9 million to $17.9 million, and with 8% of sales, compared to 4.9% in 2018. This increase reflects the impact of adopting a new lease standard, and the decrease in distribution and SG&A expenses reflecting benefits related to our organizational realignment, and supply chain excellence initiatives. Partially offset by the lower gross profits discussed previously. The impact of converting our Canadian dollar denominated operations and corporate activities to our U.S. dollar presentation currency, decreased the value of reported adjusted EBITDA in U.S. dollars by $300,000 in the second quarter of 2019, compared with $700,000 in 2018. The effective tax rate for the second quarter of 2019 was 44.9%, compared to a statutory tax rate of 29.2%. However, we expect to see effective tax rate for 2019 on an annual basis will be more consistent with the statutory rate. Excluding the impact of certain non-routine and non-cash items, which are explained in our MD&A, adjusted net income increased in the second quarter by $900,000 to $4.7 million. And correspondingly, adjusted diluted earnings per share increased by $0.02 to $0.13. Turning now to cash flow from operations and the balance sheet, net cash flows from operating activities increased by $28.6 million to $60.2 million in the first half of 2019, primarily reflecting more favorable results from operations and favorable changes in net non-cash working capital partially, offset by higher interest in tax payments. Net debt decreased by $36 million to $324.6 million at the end of the first half of 2019, compared to $360.6 million at the end of fiscal 2018. Excluding the transitional increase in lease liabilities upon the adoption of the new lease standard, effective at the beginning of fiscal 2019, net debt decreased by $50.6 million in the first half of 2019. Net debt to rolling 12-month adjusted EBITDA was 4.1 times at the end of the first half of 2019, when calculated, including trailing 12-months adjusted EBITDA for the new lease standard, compared to 5.8 times at the end of fiscal 2018. In the absence of a major acquisitions or strategic initiatives, requiring capital expenditures in 2019, we expect this ratio will continue to improve throughout 2019. However, not to the same degree as experienced in the first half of the year, given increase working capital requirements in advance of the length in period. That concludes my financial review. And I will now turn the call back to Rod for some color on our critical initiative.
Rodney Hepponstall: Thanks, Paul. From our highlights from our key actions over the last few months as we continue executing our critical initiative plan to drive top and bottom line growth. In terms of our organizational realignment, the team continues to perform well within the new structure we have put in place at the end of last year. With each passing quarter, we are becoming a more cohesive organization and delivering improved execution in all areas of our business. Work on our supply chain critical initiative is advancing well. We delivered an additional $3 million in savings in this area towards improved adjusted EBITDA in Q2. This brings the user base benefits of approximately $4 million, and can be attributed to activities like simplifying raw materials specifications, realigning price zones, along with improved plant run rate and decrease use of third party co-pack services. I shared with you what our last earnings call, we expand the original scope of our supply chain initiatives to include improvements from the plant level through purchasing and logistics, along with further reductions in SG&A spending. We engaged AlixPartners to support and accelerate progress on the expanded scopes that we can start to realize the additional benefits as soon as possible. We continue to believe the results will be significant and drive ongoing improvement in adjusted EBITDA in 2019 and 2020. In terms of for shrimp alignment growth, our shrimp business is integrated and we are focused on positioning the business to best capitalize on the growing consumer demand for the species. Regarding business simplification, we are executing our plans to streamline our portfolios and drive profitability. We have identified those species, entities that drive the most value for High Liner Foods and have started to eliminate SKUs that create unnecessary complexity. As part of this rationalization exercise, we are eliminating nine species and 242 SKUs from our portfolio in 2019. These products eliminations are not financially material, but will certainly be impactful in terms of freeing up time and resources to focus on higher margin products. We will continue to evolve our portfolio as we drill down and product categories and SKUs, and we evaluate the business against detailed customer criteria, margins for profitability and runway for growth. We are focused on the right product, right customer at the right price. We are also focus on relying our portfolio of higher margin product that will deliver over the long-term. This requires a stronger portfolio of profitable value-added and branded products with broad appeal to retail and food service customers across North America. We are collaborating with industry, leading suppliers and other industry partners to ensure High Liner has on trend and industry leading innovation. We are developing and rolling our products for fast growing non-traditional areas like snacking, and enhancing packaging to align with changing demographics and to ensure the greatest market appeal and increased frequency of purchase. Early results are very promising. Our first snacking product Haddock Bites has been listed by all major Canadian retailers, and several in the U.S. and we are pleased with the performance of this new innovation so far. We are further expanding into the second category with our recently launched Fish Wings in Canada. And I'm excited about the potential for Fish Wings, not because they incorporate a well established and popular brand and flavor Frank's RedHot sauce to support a new title value-added fish product. This innovation approach, I expect you will see a lot more from High Liner Foods in the future. Using established flavors is an effective way to encourage customers to try something new. It's working with our everything bagel-crusted cod product and we expect the same success with our fish wing product. As with Haddock Bites, we are leveraging our North American scale and taking our fish wing innovation to market on a cross border multi channel basis. I will refresh on the High Liner brand in Canada continues to be well received by our customers and consumers. We are securing enhanced opportunities for brand placement in stores with more prominent displays, showcasing our Captain and value-added products in Canada. We are also taking advantage of this brand refresh by introducing our new innovation to the U.S. retail market using the High Liner brand. We are strengthening key relationships and winning new business. We are working on several LTO opportunities with national account customers in the U.S. And in the second quarter, we supplied value-added products featured as part of two LTOs in Canada, run by McDonald's and another large quick service restaurant chain. The impact of these contracts extends beyond the sales period, it is part of a longer term strategy to work hand-in-hand with our customers to grow the seafood category and they are extremely receptive to the idea and innovation we are bringing to the table. Of course, these new product innovations will take some time to come to fruition and deliver results. I look forward to providing further updates as we continue to go to market and get traction with customers and consumers. In summary, over the course of the 15 months since I have been in the CEO seat of High Liner Foods, we have significantly overhauled the business. We have changed the way we work, the way we are organized and the way we operate and the way in which we make decisions and go to market. This has been a huge undertaking and I'm incredibly followed the people who have come together as one High Liner Foods to unlock our potential. We are pleased to be returning to adjusted EBITDA growth in 2019 as a result of the hard work on the productivity and optimization activities. We are confident that top-line growth will come overtime as we realign the portfolio, launch innovation and manage through short-term market complexity. In conclusion, we are just getting started on what we can do as an integrated North American organization and I'm very confident in the value creation opportunity ahead of us. Operator I would like to now open the call for questions. Thank you.
Operator: [Operator Instructions] Your first question today comes from the line of George Doumet of Scotiabank. Your line is open
George Doumet: Good afternoon guys. I just wanted to focus a little on the top line. Your organic declined 8% for the quarter. I know we are expecting improvements from last quarter, but it seems pretty low. Maybe give us a breakdown there in terms of what percentage, or I guess what part of the declines are more of a deliberate exit? And maybe how much of that is just general industry trends?
Rodney Hepponstall: Yes. So, George, actually, the diesel from the category which is just the total seafood category is actually performing well. The business changes for us from a top-line perspective as we mentioned last quarter very consistent with now roughly 50% of that has been delivered as we work through portfolio optimization. As mentioned, we are eliminating nine species 240 SKUs. And not to mention, we have a very, very specific focused on right product, right customer at the right price. That model is working for us. As we feel very, very good about the innovation we are driving to market. I mentioned earlier in our Haddock Bites and Fish Wings, new innovations being taken by all major retailers in Canada, several retailers in the U.S., as well as food service customers. And a separate note on that, given the performance we are having across our five critical issues and the momentum we gain there. Over the last several months, I have had an opportunity to turn my focus and attention to our sales area. And I can tell you, I certainly see opportunities not only with the innovation we are bringing, but with enhanced execution and greater focus on customers and segments that quite frankly, we can win in and have significant opportunity to do so.
George Doumet: Okay. Is your expectation still to improve from today's level into the back half and to grow volumes in 2020?
Rodney Hepponstall: No question. That is one of the many benefits of a critical five initiative. Critical five initiatives are certainly designed to make us a much leaner and efficient organization that will help deliver both top and bottom-line growth.
George Doumet: Okay. And Rod, you also mentioned, I guess, give us an update on savings from I guess, on the AlixPartners side of things and the things you mentioned, four million year-to-date. Do you expect that cadence to continue for the rest of the year?
Rodney Hepponstall: Well, we feel very good about the work that is being done not only proper critical five initiatives delivering above the expectations at this point in time, and the work that AlixPartners is doing in conjunction with the High Liner team. I’m confidence at a level that as stated earlier, we feel that we will have adjusted EBITDA growth not only in 2019, but as well as 2020.
George Doumet: Okay. But you guys won't provide a target in terms of what you think those incremental sales, those incremental efficiencies or savings could be?
Rodney Hepponstall: No, we are not providing a specific target at this point George. We are just really in the early stages of the initiative, but we are quite pleased with what has been identified as an opportunity at this point. And that is why we provide the additional perspective that we believe that will continue to grow through 2019 and also through 2020. We had identified initially, as you will recall, at the critical initiatives were designed to deliver $10 million in savings opportunity. As we said, we expected to deliver more than that. In fact, on a run rate basis, we have already exceeded the $10 million at this point in 2019. So we expect to see further improvement on the five critical initiatives, and then a significant additional improvement associated with the work that we are doing with AlixPartners.
George Doumet: And that will be achieved 2019?
Rodney Hepponstall: No, it will be through 2019 and through 2020. Most of the work will occur in 2019.
George Doumet: Okay, and will the benefits of be more 2020 or that we also see some in 2019.
Rodney Hepponstall: We will see a little bit towards the end of 2019, but the maximum amount of the benefit will certainly be in 2020. And as we get further into the initiatives, we expect, both in November and on later calls we will give it a different perspective on those initiatives, just as we have in terms of our success in the critical initiatives thus far.
George Doumet: Okay, and just one last one, if I may. Paul, on working capital, I think you mentioned in your prepared remarks note on the working capital. Should we expect similar level of reversal than last year. I think last year, we were in the $4 million to $5 million range? Should we expect something similar this year, like a positive contribution and lastly, maybe is there a leverage target that you would like to share with us at all?
Paul Jewer: Yes, at this point, we do seeing working capital increasing a little bit in terms of utilization, towards the end of the year, just given the fact that we build for Lent. It should be a similar trend to prior years at this stage. Although we have been a little more effective at managing inventory levels, which is one of the reasons we have been able to reduce to get as much as we have in the first two quarters. In terms of leverage, we said we expected to continue to get better, even despite that working capital need in preparation for Lent, and our focus is to continue to improve it both through the next two quarters, but also through the balance of 2020.
George Doumet: Okay, great. Thanks for your answers.
Rodney Hepponstall: Thanks George.
Operator: Your next question comes from the line of Sabahat Khan of RBC Capital Markets. Your line is open.
Sabahat Khan: Thanks, and good afternoon. Just one more on the volume trends year-over-year. I guess of that 8%, you said half is intentional? Just want to understand of the overall mix of the decrease? How much is food service versus retail? I guess where are you where are you still continuing to see more pullback in the industry as well as where are you pulling out of more as a company?
Rodney Hepponstall: Yes, but I would say that there is a fair combination of both. But again, optimizing our product portfolio, as well as the approach to right product right customer at the right price is going to continue to support some fluctuation in that as we work through those transitional processes.
Sabahat Khan: Okay. I guess, you talked a bit more about retail, should we assume that more the rationalization from your point is happening on the retail side as well?
Rodney Hepponstall: So I would say it's fair assumptions. I would say, we are very focused on again, optimizing the portfolio against the key species that are driving growth not only in the marketplace, but for Highlander as well, in the species that we currently participate in the six out of the top seven growth species as we talked about the previous calls. But I would say there will be a fair balance across all channels as we look at optimizing performance.
Sabahat Khan: And then there are nine species or 240 skews. Would you say that the bulk of the rationalization you need to do or is this kind of step one or kind of majority of the - to get you to where you want to.
Rodney Hepponstall: Yes, we look at our simplification initiative, simplification will continue to be a critical initiative for High Liner, so quite frankly, again, support a much more leaner organization, we have continued opportunity across potential species and SKUs.
Sabahat Khan: Okay. And then just on your commentary around looking for some more right products for the channels that are putting out more products, I guess, is that just the time to get there is that just innovation or do you want to get a lot of the supply chain initiatives work out of the way before you do that. So, I just want to understand the timelines are just directionally when you expect to put some of those new products into the market?
Rodney Hepponstall: We are focused right now on bringing in new products - new customer acquisition into the High Liner portfolio here per se, the Fish Wings, the Haddock Bites and so on, have all been launched, began shipping as of August 1st. So we will continue to bring innovation as mentioned in the back half of 2019 as well as in subsequent years market as we continue to create a much more leaner and efficient organization.
Sabahat Khan: Great. Thank you.
Operator: And the next question comes from the line of Jonathan Lamers of BMO Capital Markets. Your line is open.
Jonathan Lamers: Good afternoon. Two new products that were introduced earlier in 2019. The everything bagel-crusted cod, Haddock Bites. Are you prepared to share with us sort of the revenue run rate contribution from those at this point?
Rodney Hepponstall: Yes, Jon I would say number one, I don't have the details right off-hand. But I would say in the High Liner portfolio, it would be relatively insignificant in relationship to the overall business.
Jonathan Lamers: And do you have any projections for these, these major LTOs that you signed the McDonald's you know one other food service chain that you alluded to?
Rodney Hepponstall: Nothing specific at this point in time.
Jonathan Lamers: Okay, and the products that you have in the pipeline for H2. Do you have any - can you give us a sneak peek as to what those might be beyond the Fish Wings that you applied?
Rodney Hepponstall: Well I would love to give you a perspective on the innovation we are bringing to market, but I think my marketing folks would be a little disappointed if I let the cat out of the bag.
Jonathan Lamers: If I could tackle the question this way, as we think about projecting into 2020. Where we imagine the sales volume growth will come from, can you kind of rank order what contributions are significant. Is it just sort of doing a better job blocking and tackling with sort of lost accounts on major product lines. Is it from these new innovations. Can you help kind of break that down for us a bit?
Rodney Hepponstall: Yes, Jon. I think there is ample opportunity across the spectrum for us. If we look at not only the innovation, we're bringing the market the innovation, we are planning on bringing the market the enhancements in our marketing, effectiveness, marketing programs, overall, the repositioning of our trade program, as we have been working on those in simultaneous together critical five. But as I mentioned earlier, I have had the opportunity over the last several months to really turn my attention to the sales side, given the momentum we have got in our efficiency and optimization projects. And there is ample opportunity for us against what I would term as to your point for the blocking and tackling opportunities. We are looking at data and market opportunities differently than we ever had before. we are identifying customers that fit the High Liner portfolio that are winning and growing faster than the marketplace. So there is a number of different opportunities that quite frankly, when we execute better and more efficiently against them. We will certainly like the results.
Jonathan Lamers: Okay, thanks. I'm not sure if there is a way to comment on this. But has the Company begun exploring, refinancing the term loan that I believe matures in April?
Paul Jewer: Yes, sure. We were in regular contact with our bankers in terms of what the right opportunity would be in terms of refinancing net debt. Our desire will certainly be to get it refinanced well before the one year maturity in April 2020, not due until April 2021 as you know. And we believe, the improvements that we have made in terms of the business, the reduction in the leverage and favorable market conditions should certainly support us doing that.
Jonathan Lamers: Okay. Thanks for your comments.
Operator: And at this time, there are no further questions in queue. I turn the call back to the presenters.
Rodney Hepponstall: Thank you. To close, I want to thank you for joining our call today. And we look forward to updating you with results for the third quarter of 2019 on our next conference call in November.
Operator: This concludes today's conference call. You may now disconnect.